Operator: Good day, and thank you for standing by. Welcome to the Tuya Inc. Second Quarter 2024 Earnings Conference Call. [Operator Instructions]. Please be advised, today's conference is being recorded. I would now like to turn the call over to your first speaker for today, Mr. Reg Chai, Investor Relations Director of Tuya. Please go ahead, sir.
Reg Chai: Okay, thank you. Hello, everyone. Welcome to our second quarter 2024 earnings call. Joining us today are Founder and CEO of Tuya, Ms. Jerry Wang, our current CFO, Ms. Jessie Liu, and our Co-Founder and incoming CFO, Alex Yang. The second quarter 2024 financial results and webcasts of this conference call are available at ir.tuya.com. A replay of this call will also be available on our IR website in a few hours. Before we continue, I refer you to our safe harbor statement in our earnings press release which applies to this call as we will make forward-looking statements. With that, I will now turn the call to our Founder and CEO, Ms. Jerry Wang. Jerry will deliver his remarks in Chinese, which will be followed by a corresponding English translation.
Xueji Wang: Hello, everyone. Thank you for joining Tuya's 2024 Second Quarter Earnings Conference Call. The second quarter of 2024 was another milestone for Tuya, with our revenue continuing to meet expectations and achieving a robust year-over-year growth of approximately 29%. Our [indiscernible] segments maintained its strong gross margins, further reflecting our value proposition and the product advantages. Moreover, we achieved our first quarterly non-GAAP operational profit in the company's history, with an operational profit margin of around 10%. This is an extremely encouraging profit level that not only validates the financial viability of Tuya's business model, but also highlights our strong operational leverage and our valuable commitment to fulfilling our promises. With this, we have sequentially accomplished our short-term operational targets, and moving forward we will continue to focus on long-term revenue growth and enhancing profit margins. Today, on the occasion of this milestone, I primarily want to discuss with everyone several major stats concerning the company's fundamentals and long-term development. Firstly, as the leading global cloud platform service provider, Tuya is at the new starting point in the smart technology and industrial landscape. This new beginning includes a better competitive environment and the [indiscernible] of the smart consumer electronics and business scenarios. In the second quarter, our IoT PaaS business experienced year-over-year growth of approximately 32%, partly due to the industrial recovery and bring new potential [indiscernible] Asia as taking the robust extra data demand for household appliance and other consumer electronics during the quarter. More importantly, Tuya's ability to acquire new clients and advance with the existing customers was amplified by a more favorable competitive landscape. For example, in Europe Tuya collaborated with France's leading energy integration firm, AI technology leveraging our cutting-edge advantages in AI-driven energy-saving technology to basically explore the energy-saving market which benefit from substantial policies and subsidies and is the basic need in people's lives. We aim to set industry benchmarks and jointly promote the implementation of sustainable smart solutions. Tuya provided software technologies, including GenAI, strategic algorithm and platform capabilities as well as complete smart device solutions. In Latin America, we saw strong demand towards smart transformation and a focus on opportunities for ISPs collaborations in the past sector, servicing operator clients with Cube and smart device solutions and exploring smart street lighting projects in the software main domain. Based on our extensive cooperation experience with leading telecom operator, we began replicating benchmark projects with leading service provider clients in countries like Central America, Colombia and Chile. In terms of consumer electronics brands a 6-year-old Brazilian smartphone brand emerged as one of the largest smartphone brands in Brazil, doubling its growth year-over-year. Our efforts in Latin America directly reflected in the increased revenue share from this region. In Asia Pacific, our operator customer base continued to expand with two additional operators deploying Cube in the second quarter, such as one of the largest telecom operators in Vietnam and the other with the previous customer now Tuya's public cloud. The development of Cube will help accelerate their smart business and open up opportunities to operations in smart home solutions and industrial solutions with Tuya. This customer collaborations in addition to recognizing Tuya's technology and the product capabilities as the basis for their initial partnerships also includes shifts from other platforms or most of cooperation to Tuya. This demonstrates that companies are considering both efficiency and quality in their investments under the strong demand for smart solutions in scenarios where there are limited choices for partners. With such comprehensive technical service capabilities Tuya the southeast a significant competitive advantage in customer acquisition. Second, as the software technology company with over 80% of its revenue derived from various international regions, Tuya remains committed to delivering the best smart technology to global customers and consumers through different product models, ensuring they receive the best smart experience. This particularly includes the integration of GenAI technology and the iteration and development of various new products. Smart solution into our high-value integrated intelligent solution that was developed by combining generating AI, embedded operating systems and cloud software capabilities since we formulated the product strategy for smart solution in 2023 and select high-value software-intensive device categories to deliver complete smart products, revenue from smart solutions has been growing rapidly, achieving approximately 44% year-over-year growth this quarter while maintaining a gross margin of nearly 27%. We believe this gross margin level highlights the value of Tuya's software and products as it is comparable to or even exceed the overall business gross margin of some leading brands that design, produce and sell their products. Our past products and the smart solution complement each other, meeting the personalized needs of different types of customers and providing Tuya with more substantial revenue. This is a highly efficient business model for Tuya for two main reasons, first, the complete smart solutions for device briefly assist customers in expanding their product categories, helping them accelerate their go-to-market process to gain a competitive edge. At this stage of smartification, a rich productive metrics and the smart product ecosystem are essential for every living customers' business. In this regard, Tuya has a significant capability advantage and the smart solutions will help us better serve customers and enhance customer loyalty. Second, the core of smart solutions lies in generating revenue through products with more high-value software capabilities and obtaining correspondingly more meaningful gross profit amounts. Software capabilities have always been Tuya's strengths and through reasonable and controlled R&D investments in complete product solutions, we can achieve more scalable revenue and profits for each smart device. At present, most of our new customer collaborations in both smart solutions for devices. For example, in the second quarter, we expanded our cooperation with fixed European brand customers with smart solution orders exceeding 500,000 units, which is approximately $5 million. We also secured orders from temperate to control valves, gateways and other devices from Germany's leading retail chain with the total reaching $1 million. Additionally, we signed a multimillion-dollar annual smart solution contract with the Dutch company by [indiscernible] at Tuya's global developer conference, continuing our deep cultivation of the European commercial lighting market, among others. Since the second quarter, we have continued to invest in devices and edge AI, aiming to significantly enhance the smart product experience through GenAI, they were providing customers with better product competitiveness and the users with more valuable smart experience and features. We believe that the sense of intelligence should be the innovation of user experience driven by AI, cloud and other technologies and generally promoting the increase in penetration rates. I will give two product examples. The first one is the smart light street product we have already showcased to the market. Generative AI will understand consumers personalizes emotional needs in different scenarios and control the device to present corresponding callers in the blinking [indiscernible]. The other one is pet camera enhanced with GenAI capability, which can intelligently capture interesting moments of pets and automatically generate cinematic videos with suitable BGM and that's giving you the [indiscernible] surprise when they open the app. We see that customers are very eager for such products with differentiated competitiveness. On the other hand, we are also introducing GenAI capabilities into smart scenarios, helping users consider their desired smart scenarios through a thing called connotations, significantly lowering usage difficulty and barriers and promoting the use and authorization of smart technology. Additionally, continuing to build the developer platform through GenAI and improving the developer efficiency and experience is also part of our platform competitiveness. In the second half of 2024, we will successively launch more new products related to GenAI for our customers and the developers. Finally, as the third point, Tuya's operating margin and financial leverage structure in the second quarter have fully validated unique value of Tuya's business model. Moving forward, based on our existing experience and the foundation, we'll continue to strive for further financial improvements and share Tuya's long-term value with others who support us on our journey, our partners, shareholders and employees. This special cash dividend in Tuya's first distribution totaling approximately $33 million, an amount roughly equivalent to our non-GAAP net profit for the first half of 2024. The non-GAAP metric, simply put, reflects the results of the company's direct business decisions at the operational level, excluding other factors unrelated to the business model. Based on this, Tuya achieved non-GAAP operating profitability for the first time this quarter and achieved a solid operating margin. At the same time, considering the company's abundant net cash and the fact that we have already had the positive operating cash flow for five consecutive quarters from the second quarter 2023 to this quarter we believe that right now it's an optimum moment with the solid foundation, while Tuya is capable of sustaining long-term development [indiscernible] to start providing long-term rewards to [indiscernible] who have supported Tuya sharing to our success. That's all for the business update. Lastly, as some of you may have seen in this morning's announcement, our current CFO, Jessie, will be stepping down from her role as CFO and Executive Director on September 16 due to personal endeavors. Over the past 5 years, Jessie expertise in capital markets and finance has been crucial in shaping to as long-term development strategy and growth. Their efforts in driving operational optimization and efficiency management and made outstanding contributions to improving Tuya's business and the financial profitability, I would like to take this opportunity during this call to express our best wishes to Jessie and thank her for her significant contributions to the company over the past 5 years. Next, Jessie will share some additional financial data with everyone.
Yao Liu: Thank you, Jerry, for sharing the company's growth strategies and the long-term development philosophy. And also, thanks for your kind words. Now I will discuss our financial results and provide more detail on the numbers that was covered by Jerry. Please note that all figures are in U.S. dollars and all comparisons are on a year-over-year basis, unless otherwise stated. In the second quarter of 2024, our total revenue reached $73.3 million, up 28.6% year-over-year. Excluding the adverse impact of exchange rates between the U.S. dollar and RMB, our year-over-year growth would have been 31%. Most importantly, we achieved non-GAAP operational profitability for the first time this quarter with a solid profit margin of 10%. This core financial figures demonstrate that Tuya's strategies and efforts are yielding positive results. As Jerry mentioned, we are encouraged by the fact that Tuya is in a stronger financial and operational position. Our IoT PaaS revenue in the second quarter was $54.3 million, representing a year-over-year growth of 32%. Regarding product categories, we saw robust demand growth across all product categories with home appliances experiencing the highest year-over-year growth of about 65% due to our efforts on delivering high-value products to our customers. And the lighting and electrical achieved an approximately 30% of year-over-year growth due to the normalization of downstream inventory compared to the same period last year. From a regional revenue demand perspective, Europe continues to be our largest market, accounting for about 1/3 of the total revenue demand. The Asia Pacific region and Latin America have seen a continuously accelerated demand growth with contributions rising clearly compared to last year. The Asia Pacific region accounted for around 1/3 of the total revenue demand, while Latin America's demand contribution increased to nearly 10% -- nearly 10% to 15% in the second quarter. The structure of regional revenue contribution is similar to Q1, which is the state we are pleased to see and aim to maintain. On a customer front, we serve approximately 3,000 customers in the second quarter of 2024, a slight decrease from the same period last year. The fluctuation in the number of customers in a single quarter is partly related to downstream customers' order placements and their own operational turnovers. Overall, however, our key account customer strategy has built a larger top-tier customer pyramid with increased customer efficiencies serving as the best evidence. In Q2, our per capita revenue and per capital gross profit continued to see significant year-over-year increase of about 53% and 57%, respectively. Additionally, our 12-month DBNER has sequentially rebounded for three quarters, returning to 127% at the end of this quarter. The growth margin of IoT PaaS was 47.6% this quarter, remaining at a stable and healthy level with an improvement of around 3 percentage points year-over-year. This improvement was driven by a higher proportion of high-margin products in our portfolio, such as home appliances, including smart kitchen and pet devices. Our smart solutions segment recorded revenue of $9.4 million in Q2, an increase of approximately 44.2% year-over-year. During the quarter, we continued to achieve strong results in outdoor, central control and energy saving device solutions such as smart temperature control devices. The transformation of the smart solutions business has served as an important tool for us to increase customer stickiness and meet their demand for competitiveness in device intelligence. As Jerry mentioned earlier, strategically, smart solutions complement our past products by providing customers with the smart devices they need in the form they desire, whether for the retail market or commercial projects. For Tuya has leveraged our established PBT ecosystem to win with volume, while smart solutions win with pricing through the quality and value embedded in our software. The synergy between the two has driven growth in both revenue and profit as well as improving revenue efficiency. Our SaaS and other sector recorded revenue of $9.6 million in the second quarter of 2024. This was a stable quarter due to adjustments in revenue structuring. Revenue of high-value software value-added services such as cloud storage and Cube smart private cloud solutions remains substantial. The overall gross margin for SaaS and others was 71% in Q2, consistent with our expectations based on the mix of services. Regarding the operating activities and expenses, I will provide a detailed view on a non-GAAP basis, which excludes certain items to give a clearer picture of our operational efficiency. We continue to present our operating expenses primarily on a non-GAAP basis. In Q2 2024, our non-GAAP total operating expenses decreased by 15.6% to $27.8 million from $33 million a year ago, largely due to reduced employee-related costs in R&D, sales and marketing and G&A expenses, as we now maintain a more streamlined team compared to the second quarter of last year. These results were achieved not only through internal organization and team management optimization, but also through our continuous effort to improve efficiency by embracing new technologies. Under our comprehensive strategy of embracing GenAI, we are applying GenAI to improve our internal development, operations, marketing and logistics efficiencies. Our workforce is expected to remain relatively stable this year. Regarding sales and marketing activities, we continue to adopt strategy of appropriately increasing market activities in line with revenue growth and the market activity needs. For example, in the second quarter, we received significant attention by hosting the global developer conference in Shenzhen at the end of May. One of our next major events will be participating in IFA in Berlin in early September, where we will showcase the new experiences GenAI can bring to the industry and developers. On the other hand, by [indiscernible] with customers and hosting exhibitions will help reduce our own costs while also assisting customers in increasing their industry influence. Driven by strong revenue growth, enhanced efficiency, a stable gross margin supported by our product's strong value proposition and excellent control over expenses and costs, the second quarter marked our first ever non-GAAP operational profitability. We are confident in this achievement because Tuya's business model allows for profit growth at the top line without requiring significant additional expenses. As a result, this profit will largely translate into profit increments for the company, which is why our non-GAAP operating profit margin directly reached around 10% in the second quarter as the first time achieving a breakeven. This milestone also indicates that Tuya has entered a new phase of business operations, one that is self-sustaining. Finally, in the second quarter, we continued to record approximately $12.5 million in interest income, providing additional capital for our daily operations. We continue to follow a consistent capital strategy, prioritizing the protection of our principle while maximizing fund supplements. As a result, our non-GAAP net profit reached $20.8 million, setting a new quarterly record. Operating cash flow continued to exceed $10 million, and our net cash reached over USD1 billion by the end of the second quarter. Overall, we are thrilled about qualitative changes in our financial performance in the second quarter and believe that Tuya now has a solid financial and operational foundation, allowing us to reward our supporters with cash dividends. Looking ahead, we are committed to continue driving top line growth, operating leverage, healthy cash flow and shareholders' return. This concludes my presentation on the company's financial performance. Over the past 5 years, Tuya has experienced significant growth and transformation. And I'm proud to see that Tuya today has become a public company with strong competitive advantages, sustainable financial growth, healthy profitability and ample capital reserve. Alex, our Co-Founder and colleague, I deeply respect, will be succeeding me as CFO and played a key role in early stage fund- raising for Tuya before I joined, and he was also a key member during our IPO road shows. Post IPO, Alex also attended a lot investor communications, and he has a lot of capital market experience. So, he will join us for the Q&A session.
Alex Yang: Hello, everyone. I'm excited to engage in many discussions with you in the future.
Yao Liu: With that, operator, we are ready to take questions. Thank you.
Operator: [Operator Instructions]. And our first question is going to come from the line of Yang Liu with Morgan Stanley. Your line is open. Please go ahead.
Yang Liu: Let me translate my question. My question is about the future demand outlook given we'll be facing a very high base starting from second half last year, what will be the expected top line growth? And whether the almost 30% growth in the first half can be sustained in second half? Thank you.
Alex Yang: Yes. Thanks for the question. This is Alex. So, I'd like to address this question from both external and to a specific perspective. As a company embedded within its industry and this current level, Tuya's strategy is to seize right opportunities and take actions that align with our capabilities and vision. Thus, so the macroeconomy environment is crucial as it has been demonstrated over the past 3 years. However, what's even more critical is how the company position itself to capitalize on opportunity and expand revenue in the face of competition and market dynamics. So externally, we observed that after a recovery in the first half of this year, the macroeconomic environment has stabilized. You might have closely followed China export data for the first half and second quarter, which serve as a significant indicator of global demand within the global supply chain. For example, driven by factors like inventory replenishment in Europe and the U.S., a new demand from emerging markets like Southeast Asia. The number of household appliances export from China grew by approximately 25% year-on-year in the first half of this year. According to Chinese customer data, so this is a robust result. Of course, smart devices extend beyond just home appliances. And we've seen similar trends in other categories, such as strong recovery and growth in smart lighting in the first half with consumer security products also performing solidly. Additionally, in observable market, we've noted that some downstream companies in non-smart sectors of consumer electronics have also shown quite huge performance. With their market positioning and value chain stages being similar to this to our customers in consumer electronics sectors. Of course, you might have noticed by July data, although household appliances export in July still achieved a year-on-year growth of 16% in value and 23% in volume, there was slightly slowdown in momentum on a month-on-month basis. This is a normal phenomenon due to the seasonal and cyclical nature of the consumer electronics with peak and off-peak seasons. Generally, Q3 is a relatively off season, while Q4 is a peak season due to the promotional preparation before Christmas and Black Friday. So, taking these factors into account, we believe the industry is in a positive state of development. The next key question is what Tuya will do and should do. In this context, Jerry's earlier presentation has also outlined Tuya's strategy and focus area quite clearly. Currently, Tuya operates a cubic model, comprehensively covering the intelligence needs of the enterprises. So, the X axis represents the diverse needs of customers. For instance, some customer poses strong supply chain capability, but the lack of cloud and software intelligence where Tuya's past products come into play. Others need complete end-to-end smart device and business capabilities, which is where Tuya's smart device solutions and Cube smart private cloud products meet their needs. Some other customers required operational functions, so Tuya offers SaaS software products like the cloud storage. So that's for X. And the Y-axis represents industry diversity, covering everything from single smart consumer electronics, retail products to multiple categories ecosystem of smart homes, commercial scenarios and specific industry [indiscernible] the space-saving, energy efficiency, all fully supported by Tuya platform. So lastly, the Z-axis represents the geographical diversity. As global smart cloud platform service providers, our customers, developers and ecosystem partners span the globe, providing a solid foundation of our overall business and performance to tackle regional challenges and seize opportunities. You've seen that our European business remains steady, but the growth rate in Latin America and Southeast Asia are even more impressive. So, this has contributed significantly to the 29% year-on-year revenue growth in the first half and 10% non-GAAP operation margin achieved in Q2. So, looking ahead to the second half of this year, it's well known that due to the ordering pattern of the downstream smart consumer electronics industries and a high base of year-on-year revenue growth in Q3 on 2023 as a comparable period, it's challenging to provide an accurate year-on-year number today. However, considering all the above characteristics and competitive advantages together, we remain optimistic about continuing year-on-year growth in our core business in the second half of this year. Thank you.
Operator: And our next question is going to come from the line of Timothy Zhao with Goldman Sachs. Your line is open. Please go ahead.
Timothy Zhao: I have two questions here. The first one is regarding the old [indiscernible] this year. Secondly after [indiscernible].
Yao Liu: Okay. Thanks, Timothy. I think your first question is about our forward-looking operating profitability. And the second question is about our long-term view of cash dividend. So, I will take on the first question, and Alex will take our second question. So, achieving profitability is not something that can be decided one quarter and accomplished next. It is fundamentally about the business model and the strategic direction, followed by the collective execution efforts of the entire organization. Reaching non-GAAP operating breakeven this quarter is a significant milestone and achieving a 10% margin on our first attempt is something we considered to be a strong outcome. Moving forward, we will continue to balance growth with profitability with the next goal being to expand our scale of revenue so that the margin and profit figures become more meaningful. To this end, we have a solid foundation and experiences that we can share. First, Tuya's income statement has a rather clear financial logic. Thanks to our business model, our enterprise services developer community and the platform, we do not need to make significant incremental investments to acquire customers to generate revenue. So, this means that the additional gross profit generated will under effective cost control translate directly into profit a significant portion. Our overall gross margin is a structural result of the combined gross margins across our three major business segments, which themselves reflect market competition and product value. While there will be quarterly fluctuations, the margins remain stable overall. From a gross profit perspective, our gross profit has seen considerable and efficient growth over the past year, alongside the revenue and the current size of our team. This growth in gross profit is our source of profitability. Second, our cost control measures have seen -- have been evident to everyone. Since the end of 2021, we have consistently maintained a downward trend in expenses. With non-GAAP operating expenses remaining slightly over $30 million over the past several quarters. Admittedly, the return to revenue growth has given us the confidence to modestly increase market and sales investments as needed, but we will rigorously control costs overall, balancing the need for operating leverage and profitability and ensuring that every dollar is spent wisely. Overall, on the operational side, we hope and are willing to see non-GAAP quarterly operating margins maintaining a similar level to Q2. Regarding net profit and net profit margin due to the expectation of interest rate cuts and considering market volatility beyond Tuya control, we will strive to secure supplementary financial gains while ensuring capital protection. As for GAAP operating profit or loss and net profit, they may experience quarterly fluctuations due to some nonoperational factors such as share-based compensation expenses and the class action litigation cost [indiscernible]. However, we believe this doesn't affect the judgment of Tuya's fundamental business operations. And Alex will go for the dividend question.
Alex Yang: Yes. So, the dividend is a topic of great interest to everyone. So, let me take the opportunity to expand the special dividend announced. So first of all, it's called special dividend because there is no legal definition of non-GAAP earnings. Under GAAP, so Tuya has not achieved the full year profitability due to relatively large non-cash share-based compensation expenses, which make it difficult to issue a final or annual dividend from a compliance or business standpoint. So however, the actual dividend amount of approximately $33 million corresponds to Tuya's non-GAAP net profit for the first half of this year. So, we base this decision on our current non-GAAP operating profit level, cash flow, net cash position and other relevant core financial indicators. Planning the dividend amount and timing based on all these considerations, including actual net profit. We believe that it is the right approach to prioritize performance first and then build a long-term and sustainable shareholder return model while ensuring the company can invest and grow according to its strategic needs.
Yao Liu: Operator, go for next question.
Operator: And our next question is going to come from the line of Kai Qian with CICC. Your line is open. Please go ahead.
Unidentified Analyst: This is Ben from Capital Research. [ph] Congratulations for the strong quarter. My question is regarding the GenAI. As you mentioned, GenAI is an important strategy for Tuya. Could you further share some of your progress in GenAI such as key AI functions, typical customer case, customer feedback and your further AI investment budget as well and some color on the GenAI monetization progress would be great. Thank you.
Alex Yang: Yes. Yes. So currently, we are actively developing several smart devices products based on GenAI technology, so which covers the categories such as smart watches, smart rings, AI headphones and smart speakers and AI glasses. So, each product aim to further integrate large model capability on top of their existing functions to provide a more personalized and intelligent user experience. So, for example, smart watches and rings will be able to generate more personalized AI reports to users, enhancing interactivity through AI watches faces or GPT voice assistance. So, AI headphones currency support transcription and somatization. And we plan to expand to the capability to include real-time transcription and translation in the future. So those categories components Tuya's smart ecosystem well, which is why they have gained popularity in emerging markets like APAC and Japan. So, the addition of GenAI capability will significantly enhance the competitiveness of Tuya's solutions, creating better customer engagement and user experience. So those products are currently under intensively development within ourselves, so with many projects expected to enter trial productions in the fourth quarter of this year. For example, we plan to launch smart speaker products with the GenAI capability, including a Chinese version in Q4, and gradually introduce this AI capability into our past offering for developers. So overall, revenue from AI smart devices and software products may begin to manifest to gradually starting next year. So, regarding the monetization of GenAI, we believe there are two relevant feasible approaches. So, the first is to integrate those capability into products for customers and developers to use as they see fit. This way, the products they create will inherently process GenAI capability which can be sold to downstream end users such as consumers who can subscribe to GenAI features through their smartphone on a pay per user basis. So, this is a classic SaaS model, so which has advantage of now imposing additional cost on our customers, thereby helping Tuya differentiate products, gain market shares. With a stable revenue generated through value terming payment at the end user level we have. The second approach is including GenAI capability as additional an appropriate price within our products, such as the PaaS or smart solution model. So, the benefit of it is allow us to precisely target the customers who have real competitive need and a strong desire to excel into the smart business. So, we will select the most suitable and business driving charge model for different category and scenarios. Thank you.
Operator: We've reached the end of the call, and I would now like to hand it back to the management team for any closing remarks.
Reg Chai: Okay. Thank you, again, for joining us today. If you have any further questions, please feel free to contact us or request through our IR website. We look forward to speaking with everyone in our next earnings call. Have a good day today. Thank you.
Alex Yang: Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.